Operator: Good morning and welcome to the Middleby Corporation First Quarter Conference Call. With us today from management are Selim Bassoul, Chairman and CEO; and Tim FitzGerald, Chief Financial Officer. We will begin the call with prepared commentary, then open up for question-and-answer. Instructions on how to get into queue will be given at that time. At this time I'd like to turn the call to Mr. FitzGerald for opening comments. Please go ahead sir.
Tim FitzGerald: Thank you, Stephanie. Good morning and thank you for joining us on today's conference call. I have some initial comments about the Company's first quarter and then we'll be opening the call for questions. Net sales in the 2016 first quarter of $516.4 million increased 27%, from $406.6 million in the first quarter of 2015. The first quarter sales include the impact of acquisitions not fully reflected in the prior year comparative results, which accounted for $106.6 million or 26.2% of the sales growth in the quarter. Sales in the quarter continued to be affected by foreign exchange variation in comparison to the prior year. This fluctuation resulted in lower reported international sales, when converted into U.S. dollars in the quarter, and his impact amounted to $6.4 million, or 1.6% in lesser reported sales growth. Excluding the impact of acquisitions and foreign exchange, sales increased by 2.3%, as compared to the prior year quarter. This increase reflects organic sales growth of 7.5% at our commercial food service group, an increase of 5.9% at our food processing group, and a decline of 19.2% at our residential kitchen equipment group. Sales at the commercial food service group for the quarter amounted to $279 million, sales reflects continued demand from restaurant chains and strong international sales growth which improves substantially from prior quarters reflecting improvement in market conditions and lessened impact from currency volatility. Organic sales growth in international markets exceeded 20% in the quarter with growth in our regions while sales domestically were flat due to several large rollouts with U.S. based chains in the prior year quarter. Sales with the food processing group amounted to $78.6 million in the quarter. Organic sales growth of 5.9% reflects continued strong demand for our innovative equipment solutions, and was offset in part by the impact of plant consolidation initiatives that were largely completed during the first quarter. Normal rates out pays sales growth, and accordingly we anticipate that sales growth will accelerate in upcoming quarters. Sales at the residential amounted to $158.7 million at quarter, and this included approximately $98.8 million in sales related to the two acquisitions including the AGA Group of Companies and Lynx. Excluding the impact of acquisitions, sales decline at the residential kitchen equipment group reflecting lower sales line which had reported particularly strong sales in connection with a new product launch in the first quarter of last year, and the continuing impact of prior year product recalls at Viking related to Legacy products manufactured prior to Middleby's acquisition of Viking. Despite the continued challenges, we remain confident that significant investments we have made in the comprehensive, new and innovative line of products introduced over the past several years along with substantial investments made to improve service will be reflected in improved sales as we progress through to 2016. Gross profit for the first quarter increased $296.8 million from $157.6 million in the prior year. And the gross margin rate was 38.1% as compared to 38.8% in the prior year. The gross margin rate for the quarter was impacted by lower margins at the recent AGA acquisition. Excluding the impact of AGA, gross margins increased to 40% on a comparative basis. Gross margin during the quarter at the commercial food service equipment group were 41.5% as compared to 40.1% in the prior year quarter. The strong margins reflect a favorable impact of increased sales volumes and favorable sales mix amongst the business divisions. Gross margins at the food processing group were 40.1%, as compared to 37.4% in the prior year quarter. Gross margin strengthened from the prior year period reflecting profitability improvements in the prior year of this segment and favorable sales mix. The gross margin at the residential equipment segment decreased to 31.1% from 37% in the prior year quarter, reflecting lower margins at the recent acquisitions including AGA. Excluding the recent acquisition of AGA and Lynx, residential margins would have increased to 37.3% on lower sales volumes. AGA gross margins were 28.5% in the first quarter, and will continue to have a dilutive impact to the margin rates throughout the year but are anticipated to improve sequentially as the benefit of cost reduction initiatives are realized. Following in distribution expenses during the quarter increased to $53.7 million from $47.1 million. In the first quarter of 2015 includes $11.8 million an additional selling cost related to acquisitions completed during the past year. Accounting for the increase in the first quarter, this increase was offset by favorable exchange and luster trade show and advertising cost. General and administrative expenses increased to $56.1 million from $39.3 million in the prior year quarter. And general and administrative expenses included $14.1 million in expenses associated with recently acquired companies not included in the prior year quarter. The first quarter also included $600,000 of restructuring cost associated with the residential equipment group in comparison to $4.6 million in the prior quarter, which was primarily related to reorganization efforts at the residential distribution operations. Non-operating expenses during the quarter included a $1.6 million increase in interest expense and higher debt balances primarily related to the AGA and Lynx acquisitions. While non-operating income of $0.8 million improved in comparison to expense of $4.6 million in the prior year quarter. In the prior year quarter included substantial foreign exchange losses associated with prior year strengthening of the U.S. dollar against a number of foreign currencies. Earnings per share of $0.96 in the quarter improved from $0.67 from the prior year. In the prior year included restructuring and exchange losses which reduced EPS by approximately 10% in the prior year. Excluding these items, EPS increased by approximately 25% from the prior year quarter. Cash flows generated by operating activities amounted to $14.5 million in the quarter, as compared to $23.8 million in the prior year quarter. The first quarter cash flows reflects the agreed upon funding and pension obligation associated with AGA in connection with that acquisition, which amounted to $15 million in the quarter. And in addition in the first quarter we had significant cash severance obligations associated with the AGA restructuring initiatives which reflected as expense in the fourth quarter. Non-cash expenses added back in calculating operating cash flows amounted to $19.6 million in the quarter, and this included $8.6 million of intangible amortization, $6 million of depreciation and $5 million of non-cash stock based compensation. The company utilized $7.7 million in the quarter to fund capital expenditures primarily related to investments and manufacturing equipment and enhanced production capabilities. Total debt at the end of the quarter amounted to $763.1 million as compared to $766.1 million at the end of 2015, and the company's net debt to EBITDA leverage ratio at the end of the quarter approximated 1.8 times. Stephanie, that's all for our initial commentary. Could you open the call for questions now?
Operator: [Operator Instructions] Our first question comes from Tim Wojs with Baird. Your line is open.
Tim Wojs: Hey, guys, good morning. Yes, I mean really good commercial food number in the quarter. I'm curious, the strength in international, I mean that's probably the strongest international growth that you've posted in a couple of years here. So could you just talk about, what particularly improved in international in the quarter and how much confidence do you have that that type of growth can continue as we go through the year?
Tim FitzGerald: Yes, so there was fairly broad basis, there wasn't anything specific that drove it. As I mentioned we saw growth in our regions. Last year was really challenging, as I mentioned due to currency and other market conditions. I think we feel good that will continue growth for the year, I don't know if that will remain as strong as it was in the first quarter which was a pretty strong quarter, but I'm going to think we feel confident that we'll kind of return to do better situation in the international environment.
Tim Wojs: And then domestically, just the timing of kind of chain activities, that was supposed to kind of tick up as we go through the year. Any sort of change their in terms of what you're seeing around project pipelines and things like that from the domestic chain?
Selim Bassoul: Can you repeat the question please?
Tim Wojs: Sorry about that. Just domestically it was a little more flattish and I think you had talked about last quarter just the timing of chain activities was weighted a little bit more towards the back half of the year this year, so I was just curious if Q1 domestically came in in line with your expectations and if there's any change how the project pipeline with the bigger change converts domestically this year?
Selim Bassoul: So, Tim, let me answer the question. In essence, we do not, I am not going to report on a quarter-to-quarter what's going to happen but I can give you the most probably the bigger view on where we are on commercials. And the question was domestically what's going on? Last year first quarter we had two major rollouts, major, in the quarter, and now we last that quarter. In fact I'm very pleased with what happened. If you take away those two rollouts we shouldn't have been a fantastic gross in commercial. So what happened is just the timing of the rollout happened to be major loss year first quarter in commercial food service? So what do I see going forward? I see an acceleration of our order rate and our penetration of the chains within the next three years. So you'll most probably see our commercial food service literally start increasing the rate. If you look at the past three versus the next three years, I believe that our commercial food service will exceed the rate in the next years versus the past three years in terms of revenue, organic revenue growth.
Tim FitzGerald: So, Tim, on the rollout that we had in the prior year, that carried into the second quarter so just if you give a little bit visibility on that. So that presents a little bit of comparative challenge in the first half. So that's where we think that will really start to see more of the benefit of the further, on the back half of the year as we overcome that.
Tim Wojs: Okay, okay, that's helpful. I appreciate that. And then, just -- is there a way to just maybe segregate a little bit the moving pieces on the organic side within residential. You talked about you winding kind of lapping a bigger product rollout and Viking is still kind of, you're having some challenges from the recall. But is there a way to breakout what the organic growth was you want in Viking specifically. And I guess one more question on Viking is the sales are down kind of mid to high teens, organically from what you're reporting. Is there a component of inventory destocking that's impacting that, I'm just curious if you have any sense for what POS that your dealers might be looking like for the Viking business?
Selim Bassoul: So I can answer that question, Tim. The Viking business again is now picked up. I talked about it -- in the last conference call about our business picking up. We continue to pick up, specifically I can tell you the biggest improvement we had is we had an extensive training started in September. We've trained hundreds and hundreds of dealer sales people which has been most probably our biggest opposition through Viking over the years because they have been burned between some quality issues, service issues and I think they had a chance to see the new Viking. And that has resulted in almost 95% of Viking dealers resuming buying Viking products, and if I agreed to support and feature the brand again prominently nobody had ever not support the brand. I think maybe I've had one or two dealers that did not, unless it's somebody where we felt we did not, it did not fit our strategic vision. But now we're having the dealers all behind us. We've had major dealers and customers fly-in into Greenwood, Mississippi to see the new products and the quality, and what it's done. So the quality problem are all behind us. And we're starting to see a very good pickup in order rates domestically, and really see continue to see that. So I would say we will look for sequential sales improvement through 2016, with 2017 expected to be a strong year for Viking.
Tim FitzGerald: So, Tim, just a little bit on kind of disaggregating that 19% to give a little bit of perspective. Viking was down about 14%, so BU line had a significant impact in the first quarter. So just to understand that, and as I mentioned your line was newly acquired company, so that showed up as acquisition growth last year, not organic growth. And then that first quarter, that was essentially the first full quarter we own the business. The large backlog when we bought the company because they launched a new product line and they were shipping for a few displayed products in the first quarter of last year. So if you kind of took out that out of the equation you would have Viking down 14%.
Tim Wojs: Okay, I appreciate it. Thanks guys I'll hop back in queue.
Operator: Our next question comes from Tony Brenner with ROTH Capital. Your line is open.
Tony Brenner: Thank you. I have two questions. First of all regarding the AGA related restructuring expense. It was down awfully sharply versus the fourth quarter. Those expenses now behind or if not for the continued to taper off to the balance of the year.
Tim FitzGerald: Yes, I don't think we're fully through them, Tony. So we anticipate having some additional restructuring with actions that are going on right now. I'd say the bulk of it was in the fourth quarter, because I mean there was a pretty substantial restructuring that we had in the fourth quarter. So I think we still have some lingering and lesser expenses than we had in the fourth quarter but I would say we're not through it yet.
Tony Brenner: So it's lesser not greater than what you showed in the first quarter?
Tim FitzGerald: Yes, the first quarter was relatively minor at $600,000 so I mean, I think it's probably more $5 million worth of restructuring expenses that still would be recorded in future quarters.
Tony Brenner: Okay, and my second question is, Selim, you talked about all you've done to elicit greater dealer support, but I'm wondering what you will be doing to improve the perception of Viking in the minds of consumers going forward.
Selim Bassoul: That's a very good question, Tony. I have to tell you that as I travel around the country, I've been traveling quite a bit to dealers. In fact, two Saturdays ago, two weekends ago, I spent two full days in two different dealership, big dealership that drive a lot of traffic in where we have fantastic displays. And I have to tell you our issues has never been with the consumer. The consumers still love the brand. The brand is literally not tarnished, people love it. They now see the association with Middleby which should becoming clearer and clearer as you see the new product. Our biggest frustration has been two-fold. If you look at 2015, it was recall, and the recall did two things. One, it basically shook the confidence of the dealer sales people again because they have to pick up the phone and call their customer say just by the way you know Viking has a recall, and other recall, which was not anticipated because I had drawn out that picture industry [ph] 2015 had told everybody that we were starting to see the orders come in very strongly, and I didn't see it coming, and we didn't see it coming. And then finally we -- so literally we had to recapture the dealer sales people, say you know what, we're going to make it easier for us to do business. We're not going to keep on having you go back to the customers, well, the Viking has another issue. The number two issue is we have dealers, lots of dealers that have a strict policy. The policy is if there's a recall they will be stopped. I'm always telling that product that's end the recall, but they will sell the brand for 90 days. Those are big customer powers and they stopped selling for 90 days until they understood the recall and what we're doing about it. And so that is something. I think that is to go back and talk about our training. We flew specifically many of those big dealers to Greenwood, Mississippi to see what they can see in terms of the new product that's testing and all what we're doing. So it's been a good reintroduction of -- it has been a very good connection, and I would look to say that from an end-user we have some work to do but not as much. We have more work to do as the dealer sales people on the floor, because if you are a consumer coming into a dealer and you say I want Viking, and the dealer tells the person say, well I would not be interested in selling Viking. I think you might have lose half of the battle. To get those people to come back and be confident about us again was a big task and we've done it, and I can tell you spending those two days in those dealership not only it was fantastic to see the traffic coming to Viking. It was interesting to see the comments from the customer about our fit and finish, about our innovation, and I think that was another thing that everybody now see the impact of Middleby. We have more work to do in marching to reach out outpaced designers and that's why we're spending time introducing a new line of ranges that a little bit more urban. But from a dealer standpoint we are starting to move forward. From a consumer standpoint I think the French [ph], our induction, and now we're introducing TurboChef. I think TurboChef is coming up right now. So innovations have been very, very strong on that end.
Tony Brenner: Okay, thank you very much.
Selim Bassoul: Thank you, Tony.
Operator: Our next question comes from Jamie Clement with Macquarie. Your line is open.
Jamie Clement: Tim, Selim, Darcy, good morning. Tim, I think you said it was $98 million of revenue that AGA and Lynx brought you in the first quarter. Is that the right number?
Tim FitzGerald: Yes, that's correct.
Jamie Clement: Can you help us understand the seasonality of that business a little bit more so? I think you've historically said that it kind of mimics the seasonality of the rest of your business. But, I mean I would imagine Lynx with heavy Q2, Q3, right, but what about AGA? Were you thinking about, let's say 8% to 10% more in Q2 and Q3 seasonally or where should we be at?
Tim FitzGerald: Yes, so you're right about Lynx, I mean given its natural growth business. The second quarter is actually the strongest where the people kind of buy ahead of the summer season. But Q2 being the peak, and then obviously Q4 would be the slowest period. The AGA, there's a whole mix of business in there, but the core business of AGA, Rangemaster, actually is very strong in the back half of the year. That's the most increased, really the Q3 and particularly Q4 are the, those are the two strongest quarters of the year for AGA Rangemaster. Typically this kind of Middleby's business chart Q2, Q3 tends to be the peak.
Jamie Clement: Okay, and that actually leads into my next question. Is that, do you just need the extra seasonal volume to get to that 10% plus EBITDA margin 'cause it seems with restructuring charges seriously down in the first quarter, it doesn't sound like there's a whole heck a lot more to go. It sounds like on the cost side you guys have pretty much done the heavy lifting. So now just execution at the factory floor and get any additional volume up.
Tim FitzGerald: Yes, so we flip the charges on the first quarter based on kind of the announcement of the restructuring, but that doesn't that they're fully implemented.
Jamie Clement: Okay.
Tim FitzGerald: We're dealing with, there's companies in U.K., Ireland, France, et cetera, so it takes a while given the social kind of organizational issues, the government in how to getting those implemented so a lot of the restructuring actually that were announced and referred as accounting charges in the fourth quarter. They were not implemented until Q1 and still being implemented in Q2.
Jamie Clement: Got it.
Tim FitzGerald: So that's why we're starting to see the cash impact of that kind of come through in the first half of the year 'cause it was only accounting charge in the first quarter, not a cash charge. So that's why we're not really going to see the benefit. We'll start to realize some the benefits in the second quarter but really more so in the second half of the year.
Jamie Clement: Okay, great. And then, Selim, if I could ask one to you, big picture. Obviously labor cost on your restaurant customers clearly aren't going down anytime soon. You guys offer some solutions for that. We haven't heard much in the last two calls about talking about new product launches or new programs with large customers, that kind of thing. Can you give us a hint on what's on the horizon for the next six to nine months?
Selim Bassoul: Well big picture is we're very excited about, literally, our automation program and we continue looking at improving our automation and reducing, literally reducing labor and providing a labor save for our customers. So if you look at where we're spending our energy, we have to continue to increase speed, whether into the pizza oven or our main broilers or kitchen in the future or in our speed cooking, and then we are focused in, continue focus on energy and labor saving. So what's really fascinating is starting next week, at the end of next week, we have the national resident show being held in Chicago. And there will be a tremendous display of new innovation. Specifically targeting what I call labor reduction and automate. So we'll have what I call a true kitchen and it will be operated in terms of, we'll show the impact of how much you can reduce labor while increasing hours of operation and menu. So we will show a complex menu with less labor and less hours spend and more productivity, and that will be at the national resident show next week. Which is most probably highly disruptive, so we continue to push the envelope on labor saving, of course we have worked for years on energy and now it will be our, I'm proud to say 16 years of complete push on energy saving, whether it's water saving, utility saving, of gas and others, and then we continue increase speed. We continue to push the envelope on speed of cooking without compromising quality. So we're very excited about what's going on in automation, and it's not only talking about a certain product. We're talking about solution. We're integrating a conveyor with a roving and warming cabinet with induction and mixing it with a type of infrared cooking. There is a lot of exciting technology and if we can up end, I think we're going to more probably do some YouTube and you will see on YouTube that life kitchen that you will see a whole array of automated products that's off solution, that are for sale, they are not prototype, they are existing for sale in 2016 and 2017.
Jamie Clement: Thank you all very much for your time, as always.
Selim Bassoul: Thank you, Jamie.
Operator: [Operator Instructions] Our next question comes David Staton [ph]. Your line is open.
Unidentified Analyst: Good morning. Thanks for taking the questions. Can you expand a little bit on the progress of expanding AGA into the U.S. and how that is going and where you are in that cycle?
Selim Bassoul: With AGA going in the U.S. we are working on AGA high end mercury range which features a 5-burner induction cook top or gas burners and three ovens, a multi-function oven with convection and customizable burner, a large oven that can fit a 25 to 30 pound turkey, and a pull out grill, and this will be, literally it was at the show in January, and that product was -- of designers, of customers, of dealers and we're launching that product sometimes towards the end of this year. It will be launched as a full product line in the U.S. So AGA, we'll bring AGA into the U.S., we're basically also working with AGA and Rangemaster to continue working on completing the line, diversifying the perspective. We're also working on something called a lease, also to expand the line from what you know AGA to be, a U.K. dominant iconic brand to being attractive to customers in the U.S. So when you look at AGA and U.S. customers, there is still a perception that we have to keep that oven on all the time. There's a perception that sets an oven that heats your home. And we have worked hard to make sure that the ease of use happens. We're going to start doing the training again on AGA as we launch the market range at least in the new U.S. products. We're investing a lot of time on designing products for the U.S. and we introduced some at the kitchen -- there were rave I think, the mercury range got a big award at the kitchen and bus show in, generally in Las Vegas.
Unidentified Analyst: All right, thank you. And then in regard to Viking and the pick up on order rate. Is there any way you can break out Viking currently from the Legacy issues to give a growth picture completely excluding all of the issues from the past.
Selim Bassoul: We will drop to this. It's difficult for us to do this because at the end of the day, I think as you well know we started working on engineering. So let's go back to the basis why it's difficult, because we did not overnight recreate all the products. We started working on refrigeration, we started working on ovens and ranges, and then we started introducing new products that will be driven like the French door, TurboChef oven which is a speed cooking. So there hasn't been a clear cut between Legacy overnight. We didn't go back and say we're going to have the Legacy product and then we start completing the product line. So we started introducing a complete new product line which is having series, and then we start working on way backs to the quality issues that we faced. Whether it was in refrigeration, mostly in refrigeration and in dishwashers and we didn't have much issues in cooking. In terms of what I call the new products cooking, except the recall, they have not had major issues in cooking with seven series of French pot [ph]. So it's not for us to say this is Legacy. What I can tell you, moving forward, our quality problems are all behind us. So we went back and we have worked on every product, every [ph] has been put behind us and has been redesigned for quality, for fit and finish. So that all the quality problems are behind us, so I can look at the future versus looking at the past. So I will tell as I just repeated that 2016 was done to see sales improvement sequentially 2016 with a strong year in 2017 with Viking. We know that because we're seeing some build up projects coming through so I can have visibility toward 2017. We're launching a lot of new products for 2017. We basically have had a bunch of designers and dealer who are working with us on a multi-home subdivision right now, it's all Viking, and we're starting to see this happening. So we're very excited about what's going on with Viking as we move forward towards the second half of this year and specifically in 2017.
Unidentified Analyst: All right, well I appreciate the color.
Selim Bassoul: Thank you.
Operator: Our next question comes from Tim Wojs with Baird. Your line is open.
Tim Wojs: Hey, guys, it's me again. I just have a couple of follow up questions. Tim, could you give us what the EBIT margins were by segment in the quarter, or what the EBITDA dollars were?
Selim Bassoul: Yes, I can try to give you an idea. We really focus on EBITDA more than EBITUS kind of given the amortization from acquisitions, very significantly from segment depending upon timing of acquisitions from there all in so in the first quarter we were right around 29% EBITDA margins in commercial food service. Food processing was just under 25% so that was consistent with where we were last year and then residential was around 12%, that includes was around single digits in Q1, it was around 7% so if you were to exclude it we would have been right around that 20% mark.
Tim Wojs: Okay. And then could you talk a little bit about input cost, just stainless steel, what you guys are seeing as we started to see steel cost going up and just curious how you thinking about how you see that going through the remainder of the year?
Selim Bassoul: I think costs will continue to go up. I think we are seeing it, it's known fact that it's on the trade impact I think we are seeing is significant increases. So it's going to be most probably affecting us as it affects all our competitors. I think stainless steel has gone up. So we don't have visibility this moment. All we are seeing is somewhat in the second half we are somewhat hedged so far little bit through most part of the second quarter but we are going to start seeing the impact of steel sometime in the second half of the year. So at this moment we are bracing for some price increases to our customers to pass on as field pricing and I think that's going to be substantial. So it's not 1% or 2%, we are going to see substantial price increase in stainless steel. It will most probably be in the second quarter but will have to fast to our customers.
Tim Wojs: That's good, I appreciate the call thanks.
Operator: Thank you that concludes the Q&A session. I will now turn the call back over to management for final comments.
Selim Bassoul: First of all I want to thank everybody for attending this conference call. As we look history, we have never given guidance on a quarter-over-quarter or a year-to-year but if you look at what's going to happen over the next three years, we see an isolation or organic growth and expansion across the margins. And we really also see our EBITDA margin which has started to hover at about 20% should increase to higher over the same period of 3 years. An important key to sales growth and margin expansion is the significant improvement in the residential kitchen division. From Viking, to AGA, to U-Line we will see a not only an organic growth in improvement in the next 3 years, we are going to also see a significant EBITDA margin that will literally most probably trail of the food margin. On the food processing we are very pleased with such groups. Not only in the EBITDA margin but in the innovation substance. I think the food processing we are seeing the highest in the back log ever given our innovative solution, I think the only disruption in that segment is our industrial baking division that we are restructuring and is now being led by an expert at present of our safety division is making major changes to it and we are consolidating some of our bakery division and we created a significant technology center in Dallas. And we see that of the baking division to be starting to create fruits in 2017. So when I look at the business from the standpoint of commercial I see 3 major push, you look first at the future which is the automation and the labor saving continued being a great for us because the minimal wage rates increasing in every part of the country and automation will continue to play a part. Automation is not only a part but also controlling labor expenses but as companies are adding the complexity of working towards extended menus and extended hours it has to automate and as labor market continues to be tighter they can't find people willing to work at those hourly rates so they have to become more efficient like a factory in the kitchen to process their cooking, to process the way they deliver food in a better way and more efficient way and that's where the initiative is playing a major role. In the commercial food service, Middleby food service had a great penetration in QSR category of the fast food. We have been mostly a major player in the compact, casual in the casual dining chain and however, now we are seeing an expansion of our introduction through our innovation and through our partnership with a couple of QSR chains where we will be starting to play a role in that segments. So it's still early in its space because it's new for us we are seeing really significant progress as we part through those customers and as they teach us things for which we present solutions or making sure that they recreate with some better quality product to invent this kitchen in better state. While we haven't seen a significant contribution yet we will start to see that contribution to be significant for the next few years. Of course it's commercial gross in the beverage. I think our beverage business is now a really disrupting the way we dispense soda and dispense beverages. In addition we are seeing the beverage division working in proportion control and we look at some destruction in that business. Finally we look at again food processing. I talked about bakery but I want to go back and talk about our meat, poultry and dairy processing equipment where we've been a major player in that business, not only in terms of bearing solution -- in terms of saving yield, throughput energy to our customers but the most important has been our service component and the way we service our customers and train them as install that multi-million quarter within their factor so there is no doubt on almost down time in our product and our solution. On the residential, we spoke quite a bit about it but we're very excited about hiking and it's connectivity back to the dealer sales people on the floor. We're excited about all the products we have with this look about the quality we've had. There is nothing but upside there because literally not only are going to increase revenues but we're basically take that business, travel around 3% to 5% EBITDA to be in the next three years closer to 20.5% EBITDA and we're very comfortable in this. So as we look at our new product introduction, at all residential was disruption with the total shaft -- was it in our refrigeration which basically is a disruptive technology in refrigeration, whether it's in our beverage and our beverage saw that expense or was our kitchen of the future or was our eventless or was our -- which is another initiative that has been very successful for us as we introduced a unique -- that now started to disrupt. We are very excited about the next three years. Now would we have set back the process, yes, we will be, we will see most probably for a limited time a transition from a hedging on sales to basically passing on the still increases to our customers that will be most probably a small lag which [indiscernible] and I think customers are aware of those type of fluctuation in their commodity prices, they deal with -- most of our customers deal with pricing of chicken go up, pricing of meat goes down, pricing of tomatoes goes up, whatever due to at least somewhere but I think we'll manage this, the way we've managed them in the past. However, I'm very excited also about our international business that continues to grow and we have been able to continue playing in that market by providing sales and service in local emerging market as U.S. change continues to go overseas. But most important, at this time, this is almost a tipping point with a local change. The local regional change are becoming emerging and almost growing as fast as U.S. change in market such as the Middle East, Southeast Asia, and Latin America where we're now working with a major change to help some automated kitchen and off for a better product. So this concludes my comments and thank you for attending our conference.
Operator: Thank you, ladies and gentlemen. That does conclude today's conference. You may all disconnect and everyone have a great day.